Operator: Good morning, everyone, and welcome to the Trulieve Cannabis Corporation Second Quarter 2025 Financial Results Conference Call. My name is Keith, and I will be your conference operator today. As a reminder, this conference is being recorded. I would now like to introduce your host for today's conference, Christine Hersey, Vice President of Investor Relations for Trulieve. You may begin.
Christine Hersey: Thank you. Good morning, and thank you for joining us. During today's call, Kim Rivers, Chief Executive Officer; and Ryan Blust, Interim Chief Financial Officer, will deliver prepared remarks on the financial performance and outlook for Trulieve. Following the prepared remarks, we will open the call to questions. This morning, we reported second quarter 2025 results. A copy of our earnings press release and PowerPoint presentation may be found on the Investor Relations section of our website, www.trulieve.com. An archived version of today's conference call will be available on our website later today. As a reminder, statements made during this call that are not historical facts constitute forward-looking statements, and these statements are subject to risks, uncertainties and other factors that could cause our actual results to differ materially from our historical results or from our forecast, including the risks and uncertainties described in the company's filings with the Securities and Exchange Commission, including Item 1A Risk Factors of the company's most recent annual report on Form 10-K as well as our periodic quarterly filings. Although the company may voluntarily do so from time to time, it undertakes no commitment to update or revise these forward- looking statements, whether as a result of new information, future events or otherwise, except as required by law. During the call, management will also discuss certain financial measures that are not calculated in accordance with the United States generally accepted accounting principles or GAAP. We generally refer to these as non-GAAP financial measures. These measures should not be considered in isolation or as a substitute for Trulieve's financial results prepared in accordance with GAAP. A reconciliation of these non-GAAP measures to the most directly comparable GAAP measures is available in our earnings press release that is an exhibit to our current report on Form 8-K that we furnished to the SEC today and can be found in the Investor Relations section of our website. Lastly, at times during our prepared remarks or responses to your questions, we may offer metrics to provide greater insight into the dynamics of our business or our financial results. Please be advised that we may or may not continue to provide these additional details in the future. I'll now turn the call over to our CEO, Kim Rivers.
Kimberly Rivers: Thank you, Christine. Good morning, everyone, and thank you for joining us today. We are pleased to share second quarter results that demonstrate momentum in our core business. Our team continues to deliver stellar performance underpinned by strong margins and cash flow. While our core business remains strong, we are optimistic on the prospects for meaningful federal cannabis reform. A central part of Trulieve's mission is to reduce stigma and expand access to cannabis. We are pushing tirelessly for change and we'll continue to lead from the front. Moving now to our results. Second quarter revenue of $302 million was comparable to last year and up 1% sequentially. Gross margin at 61% improved by 1% compared to last year, representing industry-leading margin driven by scaled operations and disciplined promotional activity. Adjusted EBITDA of $111 million or 37% margin increased by 2% versus last year, attributable to high gross margin and strict expense control. Operating cash flow of $86 million contributed to cash of $401 million at quarter end. Second quarter results underscore strong demand for cannabis. Retail traffic and units sold increased by 8% and 9% year-over-year, offset by pricing compression and loyalty point redemption. Several months ago, we recognized a shift in consumer preferences towards value and mid-tier products, broadly in line with national economic conditions. We quickly adapted production in retail to increase availability of approachable products in order to meet customers where they are. These changes resulted in market share growth in Arizona and Florida and higher Trulieve branded product sales in Pennsylvania. Second quarter customer trends continued into July with traffic and units up 7% versus last year during the 7/10 holiday and with value products comprising the largest segment. Our recipe for success in retail remains unchanged. We are laser-focused on delighting customers with high-quality products and exceptional service. Wholesale revenue grew 27% compared to last year, demonstrating solid execution and the strength of our brands. We are thrilled with the progress our team has made with expanded and new relationships, particularly in Maryland and Pennsylvania. In Ohio, our affiliated partner continued to ramp production while increasing wholesale revenue. We are expanding our wholesale business as conditions permit while with careful monitoring of the credit quality of customers and industry developments. Turning now to our strategic objectives for this year. We previously outlined 4 key areas of focus: reform, branded products, distribution and customers. We have made demonstrable progress and we'll remain focused on these areas in the second half of the year. I want to address cannabis reform first, given the recent excitement around this topic. The drumbeat for change is growing louder as Americans of all ages and political parties overwhelmingly support reform. The vast majority of voters support medical cannabis and recognize the inconsistency in keeping cannabis as a Schedule I drug alongside heroin and synthetic fentanyl. The Trump administration has an opportunity to enact the first real meaningful cannabis reform in over 50 years by rescheduling cannabis to Schedule III. This would represent an acknowledgment of the medical value of cannabis and open the door for scientific discovery and further delineation of the medicinal properties of the plant. Rescheduling would not legalize cannabis, but it would remove the punitive tax burden on state legal operators, enabling greater conversion from the illicit market. Alongside rescheduling, SAFER Banking enjoys strong bipartisan support. SAFER Banking would allow legal operators broader access to basic banking services, reducing the amount of cash transactions and providing greater safety for employees and dispensaries. Industry workers would have normalized access to banking services, including deposit accounts and mortgages. Recently introduced States 2.0 legislation would directly address the gap between federal and state law by removing cannabis from the Controlled Substances Act and allowing states the autonomy to regulate their own cannabis programs. Trulieve is actively engaged in federal reform efforts, working independently and alongside industry peers to drive change. In our home state of Florida, the Smart and Safe Florida campaign for adult personal use of marijuana has collected over 900,000 raw signatures. Through July, over 660,000 signatures have been validated, representing 75% of the total required by February 2026 for ballot inclusion. We expect Florida Supreme Court review of the ballot language and summary will be concluded as required by April 1 of next year. The language for the 2026 ballot includes explicit provisions designed to protect children, ban smoking in public, add additional operator licenses and clear the way for legislative approval of homegrown. To date, Trulieve has been the primary financial contributor to this effort, leading the charge for change in Florida. We firmly believe Florida can set the standard for successful state cannabis programs, striking an appropriate balance between individual freedom and responsible consumption. With over 23 million residents and 143 million tourist visits per year, Florida could be the strongest market in the U.S. In Pennsylvania, support for adult-use remains high and lawmakers continue to work on legislation. Adult-use is increasingly viewed as a potential source for meaningful tax revenue and an inevitable step given the adoption by virtually all neighboring states. As adult-use is launched in Pennsylvania, Trulieve was well positioned given our established retail footprint, strong brands in retail and wholesale and scaled production capabilities. We believe that adult-use will be enacted in Pennsylvania in the near future. Trulieve will continue to push for reform, allocating time and resources to highlight the need for action. We remain confident that real change can happen. While advocacy efforts are ongoing, our team remains focused on 3 operational areas: branded products, distribution and customers. Providing customers consistent access to high-quality products at the right price is an essential part of our strategy to build lasting brand equity. With over 4 million square feet of production capacity, our scaled platform is a meaningful competitive advantage. Our production team continues to outperform, driving costs lower while consistently delivering great products. High quality helped differentiate our products in an increasingly competitive landscape. Trulieve manufactures and sells a combination of in-house and partner brands, bringing customers a wide assortment of products and form factors. During the second quarter, we sold over 12.5 million branded product units. Trulieve brands Modern Flower and Roll One continue to gain momentum, representing 50% of the branded products sold in the second quarter. According to data from Hoodie Analytics in Pennsylvania, Modern Flower was the #1 or #2 flower brand throughout the first half of this year. We are launching new Modern Flower and Roll One products, including all-in-one vapes and concentrates in several markets. Last month, we launched purpose-led brand Redemption Cannabis in West Virginia, building upon our existing relationship with Redemption in Maryland and Pennsylvania. Redemption Cannabis was founded by Ryan Basore, who served time in federal prison for cannabis-related charges. A portion of every sale is reinvested by Redemption to support individuals and families impacted by cannabis prohibition laws. We are proud to partner with purpose-led brands like Redemption Cannabis. Turning now to the beverage category. In February, we launched Onward, a line of Farm Bill compliant THC beverages. The initial pilot included 5 cocktail alternatives formulated with CBD and THC. Feedback from customers and critics alike has been overwhelmingly positive with cases sold in the second quarter up almost 300% compared to the pilot launch. All 5 original Onward flavors recently received medals from the SIP Awards, an international spirits competition where the judging is done by consumers. We are thrilled to win such recognition in this exciting new category. Building upon this success, next month, we are launching 4 new 10-milligram Onward flavors, Berry Smash, Cosmopolitan, Lemon Drop Martini and Paloma. Similarly, early response to our recently launched Upward energy drink has been very positive. Upward beverages are now available online and in stores with 4 flavors: 5-milligram Lemonade, Peach Nectarine and Strawberry Tea and 10-milligram Pink Lemonade. We plan to launch a new Upward flavored next month, 10-milligram half-and-half Iced Tea and Lemonade. Sales of Onward and Upward beverages allow us to reach new customers who may not visit cannabis dispensaries. We recently expanded distribution of Onward and Upward into all ABC Fine Wine & Spirits and Total Wine locations in Florida, totaling [ 137 ] stores. In addition, we launched new distribution deals with Anheuser-Busch covering Northern Florida and Romano Beverage in Illinois. Visit drinkonwards.com to find a retail location near you or order online. Distribution supports customer and branded product sales growth in both retail and wholesale channels. Year-to-date, we have opened 9 stores in Arizona, Florida and Ohio, expanding our total retail network to 231 stores. We expect to open one additional Trulieve branded store in Ohio in the coming weeks, pending regulatory approval. This year, we plan to refresh or remodel up to 45 stores with 27 stores already completed. In wholesale, distribution in Maryland and Pennsylvania is expanding, while our partner in Ohio continues to ramp sales of branded products, including Modern Flower and Roll One. Consistently offering trusted branded products through an established distribution network allows Trulieve to make meaningful customer connections. Since our very first sale 9 years ago, our primary focus has been on the customer. Our business has grown from serving a single customer in July 2016 to serving more than 3.5 million customers in the past 5 years, including 775,000 unique customers in the second quarter alone. Throughout this incredible growth, our commitment to our customers has never changed. From start to finish, we strive to provide exceptional experiences through all stages of the customer journey. Over the past 2 years, we have upgraded many customer-facing aspects of our business, including retail associate training programs, website and technology platforms and our loyalty program. Investments designed to improve the online and in-store experience for our customers have paid off. Our team reinforces our commitment to customer service by tracking customer metrics and linking performance to incentive programs for retail associates. While retail traffic increased by 8% compared to last year, overall satisfaction and Net Promoter Scores across our markets remained high in the second quarter. Kudos to our entire retail team for taking such excellent care of our customers. One year ago, we completed the rollout of our revamped loyalty program. The new program has surpassed our expectations, reaching over 725,000 rewards members at the end of June. Loyalty members accounted for 71% of transactions during the second quarter. We continue to see greater retention and monthly spend among rewards members who spend on average 2.4x more than nonmembers. We recently added new program features, including early access to new products and popular back-in-stock products as well as early notifications for special events, including in-store activations. Consistently delivering elevated experiences, high-quality branded products and generous loyalty rewards reinforces customer retention. Second quarter retention improved by 1% sequentially to 67% company-wide and 76% in medical-only markets. Overall, we are making real progress across our focus areas: reform, branded products, distribution and customers. With continued momentum and significant flexibility in our core business, we are set to expand our leadership position while pushing for cannabis reform. With that, I'd like to turn the call over to our Interim CFO, Ryan Blust. Please go ahead.
Ryan Blust: Thank you, Kim. Good morning, everyone. Second quarter revenue was $302 million comparable to last year as new store openings, adult-use sales in Ohio and growth in the wholesale channel was offset by pricing compression and wallet pressure. Second quarter gross profit was $183 million or 61% margin, an improvement of 1% compared to last year. Gross margin will continue to fluctuate quarter-to-quarter dependent on product and market mix, inventory sell-through, promotional activity and idle capacity costs. SG&A expenses in the second quarter were $101 million or 33% of revenue comparable to last year. SG&A included new store opening expenses, technology and infrastructure investments and catalyst campaign support. Second quarter net loss was $14 million compared to a loss of $12 million last year. Second quarter loss per share was $0.07 versus a loss of $0.05 last year. Reported results include income tax expense of $55 million, which incorporates both normal corporate tax and punitive 280E tax. It truly for taxes at ordinary corporation, absent the impact of 280E, second quarter net income would have been positive. Excluding nonrecurring charges, second quarter loss per share would have been $0.04 compared to breakeven results last year. Second quarter adjusted EBITDA was $111 million or 37%, a margin improvement of 2% compared to last year. Second quarter adjusted EBITDA margin reflects industry-leading gross margins and expense control in our core business. Moving on to our balance sheet. We ended the quarter with $401 million in cash and $478 million in debt. Given the strength of our cash generation, we remain well positioned to address our near-term financial obligations. As we previously indicated, we are prepared to retire our senior secured notes due in 2026 later this year with a target to refinance up to half of the $368 million outstanding. Shifting to cash flow. Second quarter cash flow from operations totaled $86 million. Capital expenditures were $12 million and free cash flow of $75 million. Absent the Catalyst campaign contribution, cash flow from operations would have been $90 million and free cash flow would have been $79 million. Turning now to our outlook. We anticipate third quarter revenue will be down mid-single digit percentage sequentially, in line with historical seasonal patterns. We anticipate gross margin will fluctuate quarter-to-quarter and expect full year gross margin will be comparable to 2024. We expect full year cash flow from operations of at least $250 million and capital expenditures of up to $40 million. We may refresh our forecast later this year depending on macroeconomic conditions and the timing and progress for Catalyst. I look forward to working with the team as we execute our plan. With that, I'll turn the call back over to Kim.
Kimberly Rivers: Thanks, Ryan. Cannabis enjoys broad support in the U.S. with recent data shared by Pew Research Center showing 88% of Americans in favor of medical and/or adult-use legalization. Today, 40 states have medical cannabis programs and millions of Americans rely on these products as part of their health regimen. Voices supporting reform are growing louder, consistently calling for rescheduling to set an even playing field for legal American cannabis companies. Easing restrictions on medical research and removing the punitive tax burden of 280E on legal operators can unleash a new wave of investment in research, leading to job creation. The U.S. has an opportunity to take the lead in cannabis by demonstrating how a legal regulated industry can provide consumers with access to safe, tested products and free up resources for law enforcement to address dangerous street drugs such as fentanyl. The Trump administration has a unique opportunity to make history and deliver on campaign promises to address cannabis reform. In Florida, we continue to push for expanded access to cannabis by supporting the Smart and Safe Florida campaign. The campaign is on track to complete signature gathering before the February deadline. We believe the revised ballot language addresses many of the concerns raised in the 2024 election cycle, positioning the new campaign for a higher likelihood of voter approval. In Pennsylvania, bipartisan efforts to pass adult-use legislation are ongoing. We believe both Florida and Pennsylvania will eventually enact adult-use programs. Trulieve will continue to allocate time and financial resources to reform efforts and expanded access to cannabis. As an industry leader, we remain firmly committed to driving forward progress. With strong margins and cash flow, scaled operations and flexibility across our platform, Trulieve is poised and ready to define the future of cannabis. Thank you for joining us today, and as I always say, onward.
Christine Hersey: At this time, Kim Rivers and Ryan Blust will be available to answer any questions. Operator, please open up the call for questions.
Operator: [Operator Instructions] And the first question comes from Luke Hannan with Canaccord Genuity.
Luke Hannan: Kim, I wanted to start just asking about capital allocation. You guys are at somewhat of a unique point in the company's history. There's lots of initiatives you have going on, both from a reform perspective, but also from an organic growth perspective. Your gross margin continues to be very impressive. Is there any room for any improvement there? And overall, I mean, I guess, how would you rank order your capital allocation priorities in the near term, of course, recognizing that as you reiterated, you will be looking to retire at least half of the private placement notes that you have outstanding later this year?
Kimberly Rivers: Yes. So I am incredibly proud of the team as we continue to lead the industry with industry-leading gross margin. And as we have previously stated, we expect gross margin to come in around 60% for the year and that remains true. As a reminder, obviously, Q3 is a quarter that has some pressure on it given seasonality in our platform and alongside, of course, the consumer patterns that we've all been experiencing throughout 2025. So there'll be a little bit of pressure on the business in Q3. But again, we've reiterated the fact that we expect gross margins to continue to be strong throughout the year, ending at that 60%, which again is best-in-class for the industry. So -- and that's no easy feat. And again, just a quick, if I can, shout out to our team for continuing to really focus on performance there. And as it relates to capital allocation, we've reiterated again that we will be looking at paying down that debt and we feel like we're in a really strong position to do so and more to come on that as we execute on that throughout the rest of the year. We'll have an announcement on that at some point here in the near future. We want to make sure that that's done successfully, right, and that we're able to, again, make sure that the terms are as strong as they possibly can be. And then I think we'll have more information as it relates to additional capital allocation, although I will say, right, we are committed, as I mentioned on the call, to making sure that the right resources are allocated to continue to push from the front for meaningful reform and to again, be poised to take advantage of that reform when it comes to fruition. And again, I think that as we're seeing there's additional pressure on other operators, we believe strongly that there will be additional opportunities for potential M&A in the future. I don't think that we're there yet. I think that we're just starting to see some of those processes come to market. We're not interested in taking on loads of other debt from other operators, but we think that asset sales and potentially attractive markets may be coming down the pipe. And the name of the game is optionality and making sure that you've got the ability to move when those opportunities present themselves.
Luke Hannan: Appreciate that. My follow-up here, and then I'll pass it along. You did touch on this in your prepared remarks and your answer there, but the consumer does appear to be under pressure and that's not true just for the cannabis industry, but also it seems like the consumer as a whole. But we have also seen, I guess, a little bit of a bounce back when it comes to consumer sentiment, consumer confidence. I guess I'm not asking necessarily if you expect a full bounce back in the consumer going forward, but are there any signs of stability overall that you're noticing from -- within your customer base?
Kimberly Rivers: Yes. I mean, to your point, right, I mean, this is not unique to the cannabis sector. We're seeing it across all kinds of different sectors and certainly ones that are retail focused. And it's been a bit of a mixed bag also to your point, right? And there's been some sort of bouncing around, if you will, as respect to as it impacts consumer sentiment and consumer behavior. We, I think, are unique in that because of the scale platform that we have across production and distribution, we've been able to really lean into patterns that we've been able to identify. And I mean, again, shout out to our data insights team and our customer insights team for being able to flag those early so that we can make adjustments in our portfolio and again, meet customers where they are very quickly. And again, being able to have modularity throughout the platform to scale up, scale down, bring different products and be able to serve additional customers because really, what we're seeing is we're seeing frequency increase fairly dramatically, candidly, with customers coming back more often. But again, that basket and that spend per visit lowering and then looking for additional value in their purchase. And so our retail teams being able to handle that additional volume with still outstanding best-in-class NPS and customer service scores, while, again, our production team pivoting to ensure that we've got the right types of products at the right price point available when those customers come back with that frequency has really been a difference maker for us. And so to your point, we're continuing to monitor trends. I would say that we're not seeing anything consistent right now. We're seeing pockets of change across different markets. And -- but again, I think that we've got best-in-class across the supply chain and across our retail to be able to respond to those shifts as we identify them.
Operator: And the next question comes from Aaron Grey with Alliance Global Partners.
Aaron Thomas Grey: First question for me. Margins remain really healthy for you guys. EBITDA margin is about 37% past 3 quarters. Sales about flat year-over-year for the first half. So just curious if you could provide some color in terms of how you're looking to prioritize margins and cash flow versus growth. You guys are having best-in-class margins right now. So just curious in terms of whether or not that relative strength offers some opportunity for you to get more aggressive to start trying to drive some more sales growth or if you're going to remain focused on the cash flow for now?
Kimberly Rivers: That's always the question, right? So I think it is a balance, right? I think that also we are mindful of the fact that it's not always a one- for-one, right? And so we want to make sure that we're mindful of how we're utilizing promotions and how we're utilizing pricing to unlock, right, top line while also, of course, making sure that we're, again, meeting customers where they are and not necessarily unintentionally changing customer behavior over that same period of time. And so again, it's a complex equation and one that we evaluate regularly. We, of course, did guide to slightly down, down mid-single digits or low single digits rather for next quarter given seasonality. But again, I think that the team is very focused on ensuring that we're providing the right product mix and that we are meeting customers where they are. And again, we do believe that we are positioned strategically to continue to grow our customer base into the back half of the year. So I would say that we certainly will look to be aggressive when it makes sense and when we believe that we can attract new customers, in particular, throughout our platform and looking at that as an area of growth for us in the second half.
Aaron Thomas Grey: Okay. And then second question for me. I know Luke touched on it a bit, but just diving again in terms of potential inorganic growth opportunities. Any potential for some M&A opportunities that could come with some assets out of receivership? You mentioned some of the debt that does come with some operators. So is there some opportunity there so we could get some attractive assets and not have some of the liabilities that come along with it? And then also secondly, in terms of just via organic license wins, particularly looking at Texas and the opportunity that you're seeing there now with the new bill that passed that opens up the medical market there. So any commentary there would be appreciated.
Kimberly Rivers: Sure. Yes, as I mentioned, right, I mean, we are always opportunistic as it relates to M&A and have certainly shown that in the past and that remains true. Our team evaluates opportunities that come our way all the time. I think it's important to have that pipeline open and that review cadence going and that certainly is true today. I'm just saying, I think that in many of those, it's early days for some of those processes. And I think that, again, we'll see, right? I think there are a lot of companies that have some debt coming due and likely we'll have to make some decisions as it relates to potential shedding of certain parts of their business. And so I think that's only going to become more attractive as we move into 2026 and beyond. But absolutely, we're open and are actively reviewing opportunities. As it relates to Texas, we are in the mix in Texas. I mean, listen, it's a big pool, but we applied and certainly would love to be there and that's been on our radar for quite some time. It's in line with our strategy of expansion, particularly across the South and the Southeast in the medical vein. So we'd love to be in that market and are excited about the fact that there is attention now on actually growing the regulated medical program there.
Operator: And the next question comes from Russell Stanley with Beacon Securities.
Russell Stanley: Just coming back to the Florida adult-use initiative. You noted some of the changes that are made to this proposed amendment that are there to, I think, address the public criticisms of the prior initiative. I'm just wondering what you could say around the feedback you've received to date from those -- relating to those changes, perhaps from lawmakers, even if it's behind the scenes, just any anecdotes would help there.
Kimberly Rivers: Yes. I mean I think that there's, of course, a lot of postmortem review that happens any time a campaign of that magnitude is run. And certainly, I think it became clear that there were some areas that had some concern in the last campaign. And again, in Florida, right, I mean, 57% of the vote is nothing to see that. But the reality is you have to have 60%. And so every point matters and every concern matters to the extent they can be addressed within the requirements to pass Supreme Court review. So in that vein, those are -- that's why those changes were made. And candidly, those changes would have been enacted in Amendment 3 by the legislature. But I think the public just wanted it a little bit more clearly stated on the face of the amendment for assurance that those actually were requirements if the measure were to pass. So I think it's certainly clear that that would be an improvement. And look, we're continuing to monitor and continuing to evaluate the landscape. There's a lot of moving parts, including turnout and what the field looks like in the governor's race and others in Florida moving into 2026. And of course, Supreme Court review has to happen as well. So look, there's a lot of game left to play, if you will, and we're continuing to evaluate. But I think the language on its face was certainly a move in the right direction.
Russell Stanley: And maybe just a follow-up question. Wondering what you can say around Georgia and that programs or that market's development, how it's performed relative to your expectations?
Kimberly Rivers: Yes. So Georgia is, I think, an exciting potential market for us. It's -- we knew going in that it was going to be a bit of a slower ramp just because of sort of the political setup, if you will, there and where the program was starting. It was starting in a kind of a just the way that some of the mechanics work and how someone has to get approved to get a card there and how the card distribution model works and how the store model works. And I think the false start there was thinking that pharmacies were going to be able to be an additive to actual dispensaries and then, of course, that not working out. So there's been a bit of stutter steps that have happened in Georgia. But again, I think like the rest of the country, Georgia is starting to wake up to the fact that strictly regulated medical cannabis is helpful for folks in Georgia and beginning that conversation of expansion that we're excited to participate in. For us, Georgia is a wonderful market because there's -- a lot of our operations, as you know, are in North Florida. And so our ability to share resources, of course, non-cannabis resources because we can't cross state lines, but personnel resources, equipment, et cetera, there's a lot of synergy there. So there's a lot left to unlock as that market grows.
Operator: And the next question comes from [ Bria Turringan ] with ATB Capital Markets.
Brenna Cunnington: It's Brenna on for Frederico. Congrats on strong margins this quarter. So just starting off with Arizona and Maryland, my question is essentially twofold. So firstly, just looking at the retail competition. So as you know, like Arizona, we haven't really seen the store count move over the past 2 years. And we've seen some articles about Maryland being delayed, but looking likely to maybe start issuing some licenses later on this year. So since you're so in tune with both of these markets and the regulatory environment, would you be able to provide any additional color on the future for retail licenses in these markets? And would just also list some overall market dynamic color for both these markets as well.
Kimberly Rivers: Sure. So in Arizona, just a reminder that the number of licenses in Arizona is actually fixed by -- in the Constitution. So Arizona was a market that passed via constitutional amendment. And in that amendment, the number of licenses is actually listed. So that's a fixed number in Arizona. But what we are seeing in Arizona is we're actually starting to see some consolidation with some smaller operators on the retail front shuttering. And our team has done a fantastic job really leaning into the opportunity there. And we're finally at a point where all of our stores have been rebranded and we have great now production of our internal brands that we're selling. Again, it's branded product through branded retail as a core tenet of the Trulieve model. And we're executing against that now in Arizona. We're seeing significant and meaningful growth of our internal brands through that branded retail now in Arizona, which is exciting for us. And in addition, right, we're again starting to see our stores perform and I would say, outperform the market in the face of some of that -- some of the challenges that other operators are facing in Arizona. As it relates to Maryland, Maryland, as you know, there's limited retail for operators. And so really, Maryland, while we have been doing fantastic in our retail locations, we also -- that's really a market, I think I said this in my prepared remarks, where we've been growing wholesale and are continuing to do that. So again, in Maryland, our branded products are -- really have caught on. We're producing them at a regular clip and are also growing our wholesale channels in Maryland. So additional licenses for us in Maryland would be, I think, a net positive as it relates to our wholesale business in that market.
Brenna Cunnington: Perfect. Understood. And then you just spoke to Georgia a little bit, yes, the state that we don't typically hear a lot about. So I would just love any further elaboration on what you're seeing in that state?
Kimberly Rivers: Sure. So again, I mean, I think Georgia is an exciting opportunity for us for the future. It's going to be incremental in Georgia. I think that history there is that that state and certainly the legislature moves in a very purposeful -- at a very purposeful clip. Again, we're continuing to be, I think, instrumental and involved in those conversations as we try to just bring common sense reform to allow folks to have increased access. That's really the name of the game in Georgia right now is for folks who do qualify to ensure that they can get to a doctor and they can get a card and they can get into the program with the least amount of friction as possible. And we think that will be a meaningful kind of change, right, in Georgia. That's a really important ground level step.
Operator: And the next question comes from Bill Kirk with ROTH Capital Partners.
Nicholas Steven Anderson: This is Nick on for Bill. First one for me, just on the federal outlook. Kim, I know you've put in a lot of time in D.C. and you mentioned the drumbeat from kind of outside the traditional echo chamber. Would you say you've gotten more confident over the past 3 to 6 months around either banking reform or rescheduling materializing? And just what makes these conversations different than the ones we've had in the past?
Kimberly Rivers: Yes. Yes, I have gotten more confident over the last 3 to 6 months for sure. And I think that really, again, you've got a President and you have an administration who specifically campaign on federal reform and specifically on rescheduling. If you look back during the campaign, MAGA Inc. actually put out ads around cannabis reform and with President Trump specifically stating that he is pro rescheduling specifically. Those ads ran in swing states. We know, right, based on polling data that among all voters, rescheduling is incredibly popular. It has over 80% of the total vote. And when you really drill down to very key demographics of 18 to 35, which, of course, we know that the President really leaned on and counted on for the win and they showed up for him, those folks, in particular, are well over 80% in terms of their support for rescheduling. And I would say similarly and importantly, going into midterms, independents also are overwhelmingly in favor of rescheduling in the high 80s. And so when you look at not only, of course, from a political standpoint, which we just talked about, but then on the policy side, when we think about it, right, and we think about the fact that cannabis as a Schedule I is scheduled right alongside against synthetic fentanyl and heroin versus Schedule III and the movement to Schedule III and what that would do as it relates to an unlock for American businesses and American-led research for the cannabis industry. And I think it becomes very common sense, which -- look, I'm very confident that this President actually, you can say what you want, but I mean, common sense led reform is, I think, one of his strong suits. So again, I feel as positive as I can. Of course, it's politics. So anything can happen and we don't have control over when and how and the timing of it. But I do think that we are leaning in. And look, I think it's one thing also that I'll just say that it's encouraging to have the industry working together. I think that's really an important point here because as an industry, we have really failed at that in the past and we've been really fragmented and the fact that everyone is generally rowing in the same direction, I think, can also be a big game changer and that's really come to fruition over the last 3 to 6 months as well.
Nicholas Steven Anderson: Understood. I appreciate that color. Second for me, just on the THC energy drink line, curious to hear your thoughts around how regulators will treat a THC beverage with that energy component in there as well. We've seen those gain good traction within the alcohol category, but they are always kind of a focal point for regulators. So just your thoughts there would be helpful.
Kimberly Rivers: Yes, sure. I mean, look, I mean, I think our Upward line, I think it's important to note that it's naturally derived, caffeine at, I would say, reasonable levels. You're not talking about something that's pushing the boundaries here and that was done intentionally. And I also will say that we are very, very focused on ensuring that we are compliant in every market. That's been actually a differentiator for us even to date, even though this is a relatively new line for us. As an example, in Florida, there were new regulations that came out and that will begin enforcement over the summer and there was a period of time where actually in Total Wine the majority of products that were on shelves in Florida were pulled with regulators going in and checking labeling, et cetera. And we were one of the only brands that were compliant. And so I think that that's also becoming a differentiator with us among just big distributors. They are comfortable with the fact that, look, we understand how to be compliant, right? We have to do that across all of our markets and have had to do it for a long time. And we go above and beyond in the beginning to ensure that it's proper labeling, proper testing that we're -- our ingredients, nutritional information, et cetera, are not only there, but they're available and transparent all the way through to the consumer. So again, we track and have robust compliance teams across all markets that we're in and we'll continue to be a market leader and making sure that we're in touch and having active conversations with regulators to get ahead of any changes that may come our way.
Operator: And this concludes our question-and-answer session. I would like to turn the conference back over to Christine Hersey for any closing comments.
Christine Hersey: Thank you. Thanks, everyone, for your time today. We look forward to sharing additional updates during our next earnings call. Thanks again, and have a great day.
Operator: Thank you. And as mentioned, the conference has now concluded. Thank you for attending today's presentation. You may now disconnect your lines.